Operator: Good morning and welcome to today's Centerspace Second Quarter Earnings Call. My name is Candice and I'll be your moderator for today's call. [Operator Instructions] I would now like to pass the conference over to our host, Joe McComish, Vice Principle of Finance to begin.
Joe McComish: Centerspace’s Form 10-Q for the quarter ended June 30, 2022 was filed with the SEC yesterday after the market closed. Additionally, our earnings release and supplemental disclosure package has been posted to our website at centerspacehomes.com and filed on Form 8-K. It’s important to note that today’s remarks will include statements about our business outlook and other forward-looking statements that are based on management’s current views and assumptions. These statements are subject to risks and uncertainties discussed in our Form 10-K filed for the year ended December 31, 2021 under the section titled Risk Factors and in other recent filings with the SEC. We cannot guarantee that any forward-looking statement will materialize and you are cautioned not to place undue reliance on these forward-looking statements. Please refer to our earnings release for a reconciliation of any non-GAAP information, which may be discussed on today’s call. I'll now turn it over to our CEO, Mark Decker, for the company's prepared remarks.
Mark Decker: Thanks, Joe, and good morning everyone. Joining me this morning is Anne Olson, our Chief Operating Officer and Bhairav Patel, our Chief Financial Officer. It remains an incredible time to be in the housing business. While it appears clear that the industry's strong growth is primarily attributable to inflation, which we're witnessing on both revenues and expenses, the fundamentals of our business, supply-demand, traffic and the attractiveness of renting versus owning a home from standing have never been more optimistic about our business. In light of the current environment and our positive results for the quarter, we're increasing our outlook for the year. Our NOI growth will drive an increase of nearly 14% in core FFO, and we've now been able to grow same-store NOI and core FFO each consecutive year since 2018. This is a track record few can match and a testament to the resiliency of our portfolio. Turning to investments. As you can see, we spent over $1 million conducting due diligence on a significant pursuit that we abandoned. This was a roughly $2 billion portfolio that would have given us scale in several new markets and accelerated our strategy. We got almost all the way down the road at last as some of the large portfolio deals got announced in December and January, our counterpart looked into the white hot market and concluded that selling things individually versus as a portfolio would result in the best outcome for their constituents, and they went in another direction just weeks before we got to an announcement. It was a great effort by our team, and we'll learn something and take that forward. We strive every day to improve the company. And while the current capital market environment is choppy, we're encouraged that these conditions may benefit lower leverage, longer-term-oriented investors like Centerspace, and we remain active in our pursuit of opportunities large and small. Our key criteria remain portfolio improvement, per share earnings quality, greater distributable cash flow. Our team continues to deliver awesome results and foster a culture of improvement and team orientation. Two great highlights to bring this point home. First, for the third year in a row, we were named a top workplace in Minnesota by the Star Tribune. Congrats on that as well as a big congratulations to our team for receiving the National Apartment Association's inaugural award for leading organizations in diversity, equity and inclusion. This national award recognizes our work to be a place where people can belong and take risks to improve. Our reach will always exceed our graph, and it's never perfect, but as I say, it's the courage to continue accounts. Well done team, and thank you. Center space has considerable momentum as 2023 comes into focus. And now, Anne, would you please provide a quick ops update?
Anne Olson: Thank you, Mark, and good morning. Revenues continue to drive growth, with second quarter revenues increasing 11.7% over the same period in 2021. During the second quarter, our same-store new lease rates increased 13% on average over prior leases and same-store renewals achieved average increases of 7.3%. On a blended basis, our second quarter rental rate growth was 10.5%. These strong leasing trends continue through July. . Our same-store weighted average occupancy was 94.8% on June 30, 2022, an increase of 90 basis points over the first quarter. Significant growth nationwide in rental rates has raised the question of affordability. But in our Midwestern and Mountain West portfolio, we see average rent household income of 23.1% for those applicants in the second quarter. This gives us confidence in our tenant credit and with average monthly revenue per occupied homes of $1,518 our communities are affordable to a wide segment of the renter population. While providing a tailwind for revenue growth, inflation is also affecting our expenses. The main driver of our increasing expenses are utilities, labor and materials. Our increased revenue and expense guidance for the remainder of 2022 reflects the trends we are seeing in both leasing and the pressure on the expense side of the business. Our goals for the second half of the year include realization of efficiencies from our 2021 technology implementations to assist expense containment and enhancement of our customer experience to drive revenue. It's been a great first half of the year, with a same-store net operating income increase of 9.7% year-to-date, and we expect that growth to accelerate in the range of 10% to 12% growth for the full year. Now I'll turn it over to Bhairav to discuss our financial results.
Bhairav Patel: Thanks, Anne. Last night, we reported core FFO for the quarter ending June 30, 2022, of $1.12 per diluted share, an increase of $0.15 or 14.3% from the same period last year. The growth in our core FFO was primarily driven by strong same-store results with our same-store NOI increasing by 11.5% compared to the same period last year. . G&A and property management expense were $5.2 million and $2.7 million, respectively, for a combined total of $7.9 million. Included in G&A is $1.1 million related to pursuit costs as Mark discussed in his remarks earlier. Also included is $447,000 related to the Yardi implementation, which we expect will be completed by the end of this year. As a result, we have excluded the pursuit and implementation costs from our core FFO. Excluding these costs, our combined G&A and property management expense for the quarter was $6.4 million, which is a better representation of our run rate. It represents an increase of $933,000 or 17% year-over-year and is driven by an increase of $570,000 in compensation expenses and $230,000 in office expenses, mainly from an increase in IT-related costs. The material increase year-over-year is in part related to our significant acquisition last fall of the KMS portfolio. Including the acquisition, since the same period last year, we have acquired a total of 22 properties, which has increased revenues by almost 25% on an annualized basis. Our balance sheet remains strong and provides us with ample flexibility. As of June 30, 2022, we had $196.2 million of total liquidity, including $183 million available on our lines of credits. At the end of the quarter, the weighted average maturity of our debt was 7 years and the weighted average interest rate was approximately 3.3%. Now I will discuss our 2022 financial outlook which is presented on Page 17 of the supplemental. Following a strong second quarter, we are viewing our same-store NOI guidance to an increase of 10% to 12% year-over-year. As Anne mentioned, revenue growth was extremely strong in the second quarter and the positive leasing trends continued through July, prompting us to raise our revenue guidance to an increase of 9.75% year-over-year at the midpoint. On the other side of the P&L, we saw continued expense pressure during the second quarter. While we do expect the year-over-year growth rate to moderate during the second half of 2022, we expect expenses to be higher relative to our prior expectations and are accordingly adjusting our guidance to a year-over-year increase of 8% at the midpoint. All of that translates to an increase in our core FFO guidance for 2022 to $4.45 to $4.61 per share with a midpoint of $4.53 per share. And with that, I will turn it over to the operator to open it up for questions
Operator: [Operator Instructions] Our first question comes from the line of John Kim of BMO. Your line is now open. Please go ahead.
John Kim: Mark, you mentioned on this portfolio that you pursued some interesting items that it would put you into several new markets. I was wondering if you could provide any color to this, if this means in addition to Nashville? And also that if seller decided there's not a portfolio premium by some in its entirety, I just wanted to get your thoughts on this?
Mark Decker: Sure. Thanks, John. It was several markets -- in fact, it didn't include Nashville. And as we've said, we have focused markets that I'd say we spend 85-plus percent of our time on, and then we spend time on things that are opportunistic, like this portfolio. . And with respect to premium because of all the other things that the seller was getting and by that, I mean, we were going to collaborate with their team, i.e., not cut many of the folks on their team, there were going to be some tax considerations. So when you look at the whole package, it really wasn't about max price. It was about a bunch of different objectives. And I think thematically, that's something we like when we're solving problems and not just paying the most money. It's easy to pay the most money. It's hard to solve problems. So we had, I would say, a very sort of bespoke solution engineered. And in the end, they wanted a different solution.
John Kim: Are you in the running for any parts of the portfolio that are for sale?
Mark Decker: No, I don't believe so. I'd say it's like Lloyd from thumb and. There's always a chance, but our willingness to -- our desire to take this charge is really a recognition that we don't think anything is going to happen with this portfolio. I mean, the sum of the parts was worth more than all the parts to us. It's really about getting scale in markets. So we're probably not that interested in buying one-offs in markets that we're not currently in, unless they're strategic markets.
John Kim: Got it. Okay. And then just wanted to ask about your current loss to lease and the earning you have for 2023.
Mark Decker: Sure. Anne, do you want to take that?
Anne Olson: Yes. I think right now, we're looking at the last lease right around 12%. So if you kind of measure our earning as 50% of that, it would be right around 6%. We do think that there's potentially some moderation in leases going forward, although our July results were really strong, and we expect -- the blended lease rate growth in July right around 10%. So still really, really strong. And with that last lease, we're hoping to keep capturing that.
John Kim: And Anne, your quoting on lease growth, right? Or is that potential revenue?
Anne Olson: Right on lease.
Operator: Our next question comes from the line of Brad Heffern of RBC Capital. Your line is now open. Please go ahead.
Brad Heffern: So the $2 billion deal, I guess, can you give any additional details about how similar it was to the current portfolio in terms of things like price point and geography? And I know you said it would have added a few new markets. Can you give any sort of broad strokes as to where those were, were they Sunbelt markets, et cetera?
Mark Decker: Yes. Sure. Brad. Yes. So similar product in terms of average rents and kind of value per home, if you will, no commonality with our existing markets. It was kind of South Sunbelt through Midwest, which, again, we're not trying to accumulate a large Sunbelt presence unless we can find some opportunistic reason or a way to get there, portfolio being a good example.
Brad Heffern: Yes. Okay. Got it. And then it sounded like this was a deal that was negotiated before sort of the broader market downturn. I guess, given the current cost of capital and cost of debt, are you seeing acquisition opportunities that still make sense?
Mark Decker: Are they making more sense? So yes, that deal really was negotiated last fall and then the Blackstone purchase of APTS, Blue Rock and resource all at kind of $300 a door and 3 handle cap rates was pretty motivating for our counterparty. And again, I think February was kind of the absolute tippy top of market in terms of leverage availability, good pricing on leverage, lots of product in the market. . The levered virus is much less -- has much less conviction today. So I think listening to the same calls you did, and we see the same things I think you're hearing from other folks, which is pricing is off plus or minus 10%, maybe as much as 15% depending on the deal and the location as is almost always the case strongest assets and strongest locations see the least amount of price diminution. But I do think the market is coming a little bit more our way because we're not reliant on heavy leverage and/or kind of 3- to 7-year window to get in and get out.
Brad Heffern: Yes. Okay. And then, I guess, any thoughts on incremental cost of debt as we sit here today?
Mark Decker: It's higher. No, I don't like it. I got the thoughts on that. But I think the mathematical reality is we did 2 pieces of debt that we can pretty reliably reprice today. We did the Fannie line and the 3 pieces of unsecured, both had kind of a little bit more than 10 years of weighted average duration, both were right around 2.7. The Fannie piece was I/O, obviously, the unsecured is I/O. If we recreated that -- there was a lot of paper that came into the unsecured market early in the year. So I think that when we talk to folks in that market it's priced even a little bit wider than just sort of general spreads would dictate because there was a lot of repaper that got done in the first half. So I think that unsecured paper has a five in front of it for similar duration. The Fannie paper, similar terms, which was a relatively high advance rate, call it, 60% is right around 4.5. So more than double or more than double depending on which market you're in. Fannie and Freddie are behind this year on their production goals, so pricing might get a little bit better, but that's the math today.
Operator: Our next question comes from the line of Rob Stevenson of Janney. Your line is now open. Please go ahead.
Rob Stevenson: With year-to-date same-store expense growth at 10.7%, what changes to get you down into the low to mid-5% growth rate in the second half to sort of put you in that sort of midpoint of the guidance range for the year?
Mark Decker: Yes, Anne will take that.
Anne Olson: So really, in the second half of the year, it's going to be about -- more about the comparison, although we are really monitoring expenses closely and have a keen eye on what we can do to improve it. But if you recall, the run-up of particularly energy prices happened in the second half of last year. So our first half comparison was really tough because we had additional -- as we set up -- noted on our last call, we saw some increase in usage, but a significant increase in price. That increase in price happened in the second half of last year. So our -- the growth rate will moderate just simply because of the comparison. We are undertaking a couple of changes to our ratio utility billing system, our bill backs to tenants to make sure we're capturing more of the cost and passing that on to tenants, obviously, being mindful of how that impacts kind of our ability to push rents. And our goal is to keep maximizing that revenue and to the extent we can push some of those costs into other revenue, we will.
Rob Stevenson: What is your utilities exposure at this point in terms of how much are you getting back versus how much you're exposed to?
Anne Olson: Well, widely, it varies pretty widely by market. So I would say in Denver and Minneapolis, we're capturing probably 70% to 80% and in our smaller markets -- in some markets, it's very, very low percentages. So that's a product of a lot of things. Whether or not the market will take it and comparable properties when people are shopping, if they can get their heat paid for next door, they'll either pay less rent in order to pay their heat bill or they want to pay for. So it varies pretty widely.
Rob Stevenson: Okay. And then what's left for you guys in terms of all of the smart homes, self-touring, operating efficiency, maintenance, apps, et cetera, in terms of both upfront spending and also reaping the future gains in same-store?
Mark Decker: Yes, I'm going to jump in front of this one. And on this one, Rob, I'd say almost all of it. I mean, we have employed some technology on the maintenance side. But as we've talked about over the last couple of quarters that implementing that single-stack technology solution, Yardi, really allows us to integrate a lot of those different things, smart rent being a good example, in a way that we were not able to before, not to go overly tech on you and I can't kick very deep on this, but we essentially had a self-hosted virtually bespoke MRI solution that no 1 could really look into. So because of our heritage as a multi-property type owner. So that really sets the table well for us and that has kind of stabilized this year. So that's something we're really looking at as we go forward.
Rob Stevenson: What's left in terms of -- what you expect to spend on those type of programs over the next couple of years?
Anne Olson: Yes. So that's a great question. I think it's going to -- it's not going to hit expenses in the way that the technology implementation has. So what we have left, it's most likely replacing current service with different Software-as-a-Service or replacing one solution that we've had that's historically. So I'm not expecting a massive amount of investment in technology spend. I think probably a general run rate of technology investment would be a couple of hundred thousand dollars a year, which is pretty close to what our historical was. And we have invested. As we've gone along the way, we have really great online leasing presence. We have Matterport tours of 100% of our properties online. We do online leasing in some markets, that's a pretty high percentage of what we do. But to Mark's point, we still have a long way to go. We've just started using some AI solutions on prospects with leads. That's working out really well. So we're just in the beginning of stages of implementing them and really the beginning stages of optimizing them so that we can start tracking what efficiencies they are creating in the portfolio.
Rob Stevenson: And at what point do you get the greatest savings in terms of headcount and labor costs there? Has that already occurred? Or is that still to come when you can operate with fewer people, et cetera?
Anne Olson: Yes. I think that comes when we really -- when we continue to move. It's not only the technology solutions at the community level that allow that. It's really how these technology solutions may enable centralization of some services so that rather than having a position that only services 300 units because it needs to be on site, we can house that position anywhere in the country really on the support side and maybe they can support 1,500 units given the technology and ability to kind of focus. So that's where I think we're really going to see the headcount reductions as when we can leverage some of these in order to identify how we might take certain positions and have them support across the portfolio in a centralized way.
Rob Stevenson: And is that more of a '23 event?
Mark Decker: Yes, Rob, I'd also say a lot of that is you see when assets are clustered. I mean for all the talk about technology, which is real. I mean that is a lot about customer preference and experience and making it easy for the resident to access different services or shop your apartments. And I think it's also about increasing the quality of work for the team. But when you kind of cut through it all, scale adjacencies and scale proximate to one another is what, I think, drives the most efficiencies from a headcount perspective.
Anne Olson: Yes. To answer your question, I do think that we're going to really -- we're hoping to really accelerate and start figuring out what these efficiencies are and mapping what potential additional centralized services look like for us and implementing those in '23. So yes, '23 is when we'd like to start really tracking some of the metrics that show efficiency other than, obviously, we're looking at margin and things like that in the meantime. .
Operator: Our next line comes from the line of Connor Mitchell of Piper Sandler. Your line is now open. Please go ahead.
Connor Mitchell: Just following along with the technology implementation costs. And as mentioned that going forward, it might be a run rate of a couple of hundred thousand per year. So just making sure I understand. Will there be any more kind of larger costs such as this past quarter or in 2021, where it was a little bit more? Or is that run rate starting in 2023 and beyond?
Mark Decker: Yes. I don't know that we were trying to give you expense guidance there. But Anne, do you want to take that?
Anne Olson: Yes. I think, yes, the couple of hundred thousand is just to kind of indicate that we are going to continue to make advancements in there. There won't be anything nearly as significant as this Yardi implementation that we did. This has been 18 months, it's changing really the back office system. So there's no immediate kind of value-add proposition there. . I would say, as we look towards our future technology implementations, how we are assessing those right now is we are expecting a return on those investments. So those will be invested dollars instead of expense dollars. Our next kind of value-add implementation as part of a value-add project where we really do expect to get a return on that investment. This was just to set the stage. I mean, not that we don't think it's going to give us returns, we do it.
Mark Decker: No one looks at your back office and says, this is awesome. My experience has been better on paying more rent. I mean it isn't -- it's really about making it easier for our team to spend time on things that our presidents do care about because we have a more efficient back office. Whereas the go forward, well, the residents should feel it and be willing to pay for it. I think if you look at again, smart rent, which has been talked about by a lot of our larger peers. There really is a value proposition there, both from the customer side in terms of having greater functionality from the operations side in terms of leak detection and being able to change out locks automatically. And instantly, those are value drivers for us.
Anne Olson: But we truly are at the tail end of the expense on the Yardi implementation, and we are not expecting that next quarter repeats the same expense.
Connor Mitchell: Okay. That's helpful. And then kind of going back to the operating expenses. You touched based on that -- really the comparison is the first half versus second half of this year last year with utilities rising. But even looking further into the future in 2023, do you guys expect that to stay about flat? Or is there any way that you guys might be able to even lower that slightly or in comparison to?
Mark Decker: Connor, are you trying to get '23 guidance. Bhairav, why don't you take that one? .
Bhairav Patel: Yes. From a utilities perspective, yes, as Anne said, the second half is really driven by comps. We did see utilities increase in the second half of last year. So from a year-over-year perspective, that's moderating in terms of usage and per unit cost. We have seen that stabilize a little bit recently. So if that trend continues, we should be back hopefully in the same range as it was before. But again, if the costs keep increasing, we'll have to kind of just wait and watch.
Connor Mitchell: And so with the operating expenses, you guys mentioned that it's mostly utilities and labor. Is there anything else driving the increase or keeping the level where it is?
Bhairav Patel: The bulk of it -- sorry, go ahead, Anne.
Anne Olson: I think one thing to think about is, so there are some expense increases that do drive revenue. So when we're seeing really strong lease growth and turnover and a little bit higher turnover, at some of our properties. That does drive turnover expense and some of the repairs and maintenance lines. Those are good expenses to have. Obviously, our commissions are higher given the higher lease rates. So some of those things are positive because you really want the revenue. But Bhairav, do you want to comment on some others?
Bhairav Patel: Yes. I was just to speak there. I mean, I think from a first half standpoint, it was really utilities driving it. As we look to the second half, the impact of the utilities would moderate. But from a compensation standpoint, we do see the year-over-year increase kind of sustained as we go into the second half. But to Anne's point, some of these expenses that are driving growth are expenses that are also driving revenue. .
Operator: [Operator Instructions] Our next question comes from the line of Buck Horne of Raymond James. Your line is now open. Please go ahead.
Buck Horne: Curious if you could share your supply outlook for -- particularly for Denver and for Minneapolis? Just how you're thinking about how the back half of the year and maybe going into 2023, how competitive supply and the delivery schedule is going to affect your portfolio or may affect either suburban versus urban core? Just -- are you still seeing a healthy absorption of the new units or any change in fee rates of new supply out there?
Mark Decker: Yes. Thanks, Buck. I would say anything that's underway is probably -- is going to get finished and we're not seeing any cause for concern there in terms of absorption. In fact, we've seen some pretty strong absorption in some of the projects we've been tracking. It does seem pretty clear that the debt markets are tightening depending on -- and probably 65 LTV seems like it's trending lower. The banks seem to be pulling some of the risk off for a whole host of reasons. So that probably speaks to supply that's 18, 24 months away. But we're not seeing any slowdown in demand, and we're not -- I mean, I think here in the Twin Cities, and I'd say this is probably true in Denver as well, the in-town in-city proper assets are still not experiencing quite as much pricing power as the suburbs. And I expect that could continue for a while based on work from home and things like that. But having said that, we're still seeing good demand. in those markets on an absolute and relative basis. So I don't -- we're not concerned about or unduly concerned. I mean, I'd say we're always watching it, but we're not concerned about supply. And as we've talked about, I think a lot in our investor decks and meeting, our portfolio has some of the lowest supply coming on a relative basis.
Buck Horne: I appreciate that. Just helpful to get the whole channel check there. I appreciate that. And going back to the portfolio contemplated transaction, how are you guys thinking about funding that deal and did -- a portion of disposition, were you planning on a segment of the existing portfolio and accelerating dispositions on that? And should we possibly anticipate some additional disposition activity later this year?
Mark Decker: We were going to issue a ton of equity on an NAV to NAV basis. So it would have worked pretty well. It would have been balance sheet neutral day 1 and probably positive. I think from the lending markets perspective, particularly the corporate lending market perspective, that exercise and diversity would have probably up-tiered us a bit in pricing. So it would have been a positive there from a debt to EBITDA and secure percentages and things like that, it would have been there would have been a little bit of work in the early days to kind of get us to where we are now. But we entered the unsecured market something north of 8x debt to EBITDA, and we're sort of tracking on a forward-looking basis into the mid-6s. So we're very comfortably in that market when people ask us about how do we think about debt. We frequently say we think a lot about maintaining that access to the unsecured market in the form of a direct placement or insurance company market, which we're comfortably have access there. As I said earlier, when Brad asked the question, we don't love the pricing of that market right now, but we're certainly not alone in that camp.
Operator: Our final question comes from the line of Wes Golladay of Baird. Your line is now open. Please go ahead.
Wes Golladay: Looking at the supplement, it looks like revenue growth meaningfully outpaced rent growth this quarter. Can you talk about what is driving the other revenue growth?
Mark Decker: Anne, do you want to take that?
Anne Olson: Yes. Some of that is the lag in collecting the ratio utility billing. So the billbacks from the tenants. When we experienced those rising expenses last quarter, there is -- then it gets built out. So I think a big driver there in the growth and other revenue is the collection on the route. .
Wes Golladay: Okay. So if I guess maybe for modeling purposes, this looks like a good run rate as long as gas utilities are high?
Anne Olson: Bhairav, what do you think about that? .
Bhairav Patel: Sorry, I missed that. Wes, can you repeat the second part?
Wes Golladay: Yes. When we look at the other revenues, it just like a multi-quarter true-up where are we looking at the current other revenue for the quarter. being a good run rate going forward as long as utility expenses are high.
Bhairav Patel: Yes. So the one thing on the revenue side, in addition to what Anne said is from a collection standpoint, we were over 100% this quarter. So that's really driving some of the differential as well. So after adjusting for that, it gives you a pretty good sense of what the run rate will look like. We collected about 100.2% of revenues this quarter. So on a normalized basis going forward, we would anticipate something closer to like 99.5%-ish. So that's adding to some of the difference as well.
Wes Golladay: Okay. And then can you talk about the revenue management strategy for the back half of the year? Are you looking to push rates for the balance of the year and maybe build occupancy later in the year. But can you just give us a little bit more color there?
Anne Olson: Yes. I think we really do try to build occupancy going into the fourth quarter. We have lower lease expirations. And so our goal -- we feel good about the sequential increase in occupancy. We went up 90 basis points between end of the third quarter -- or end of the first quarter to end of the second quarter. We continue to -- we want to keep building that. There's always a balance of pushing the rate and being able to capture that loss to lease versus occupancy. So we do hope that the occupancy can continue to grow and that we can continue to capture really great increases. .
Operator: There are no more questions registered at this time. I'd like to hand the conference call over to the management team for closing remarks.
Mark Decker: Super. Thanks, Candace. Well, we just want to thank everyone for your continued interest in Centerspace and enjoy the rest of your summer, everyone. Thanks.